Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Steelcase Second Quarter Fiscal 2024 Conference Call. [Operator Instructions] Thank you. Mr. O'Meara, you may begin your conference.
Mike O'Meara: Thank you, Rob. Good morning, everyone. Thank you for joining us for the recap of our second quarter fiscal 2024 financial results. Here with me today are Sara Armbruster, our President and Chief Executive Officer; and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our second quarter earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted to ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release, and we are incorporating by reference into this conference call the text of our safe harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I will now turn the call over to our President and Chief Executive Officer, Sara Armbruster.
Sara Armbruster: Thanks, Mike, and hello, everyone, and thanks for joining the call today. So our second quarter results were much better than we expected in both revenue and adjusted EPS, finished above the guidance range that we provided in June. So halfway through the year, we are pacing ahead of the fiscal 2024 targets that we shared in March. And on the strength of our favorable first half performance, we are projecting our full year adjusted EPS will finish between $0.80 and $0.90, which is higher than our target of $0.55 to $0.75. We're pleased with the progress we're making in many areas of the business and believe our strategy is helping to drive these improved financial results. Our second quarter adjusted operating income margin of 6.2% is 210 basis points higher than the prior year. This is driven largely by the success we've had implementing our profitability improvement initiatives. Our sales teams have continued to capture pricing benefits from the price increases we implemented over the past two years in response to the extraordinary inflation we incurred. And our operations teams around the world are continuing to make near-term efficiency improvements while also working to redesign our operational model to drive a lower overall cost structure. We captured additional savings this quarter and we remain confident in achieving our target of driving over $50 million in annualized net cost of goods sold reductions over the next several years which is what we communicated at our Investor Day in May. The world of work continues to evolve and we're seeing a growing number of company leaders talking about the importance of being in the office more regularly and in a coordinated way. Many large companies are implementing workplace strategies that bring their people together in the office on some combination of days. They recognize that being together is a key contributor to shaping their culture and driving business outcomes. And as a strategic partner to many of those companies, we're being asked to help improve the functionality of feel of their workspaces. They're investing to support in-person collaboration and they realize people need privacy for phone and video calls, along with our focused individual work, and Steelcase is helping clients meet those needs. One recent example is the success we've had in the legal and finance sectors. These clients are looking to create a variety of spaces that support both collaboration and privacy and we've partnered with several large leading organizations in Chicago, Dallas and New York, to name a few. Our teams have helped these clients design partner and junior partner private offices that support focus, open planned staff spaces that provide those connection and access to privacy, high performance collaboration spaces that facilitate group engagement plus seamless use of technology and ancillary areas that enhance informal connection and well-being. And our recent acquisition of HALCON has accelerated these efforts and is really helping us win a greater share of wallet with these customers. As part of our strategy to lead the workplace transformation, we've prioritized investments in research and product innovation, and we're seeing some evidence of success. In the Americas, our year-to-date revenue from large corporate customers is ahead of our expectations and our win rates remained strong. We also had double-digit order growth in our continuing business, which we believe is indicative of large corporate customers making changes to existing spaces. But it's not just the fact that these customers are making changes, they're choosing us as their partner. They recognize Steelcase has the insights and solutions they need to help them reimagine and transform their workspaces. We've also been investing to enhance our ability to serve customers and segments beyond those large companies. In those segments in the Americas, our revenue is a little behind our expectations, most notably in our consumer business. And we believe that's related to the broader slowdown and household spending on goods. In healthcare and education, we saw nice growth in our sales into clinical healthcare spaces and learning spaces such as classrooms, even as investment levels for administrative and traditional office spaces are pressured. Our international businesses are being impacted by the macroeconomic environment in Europe and China, and that led us to initiate our previously announced restructuring actions. I'm also happy to say that we're seeing results against the goals we've set to support People and the Planet. This fall, we're releasing the 2023 Steelcase Impact Report, which highlights our progress to date and shares how this work is making a difference. And I'm proud to share that this year, 12 of our suppliers set science-based targets to reduce carbon emissions in their own operations. This isn't expected to help improve just Steelcase's Scope 3 carbon emissions, it should help all of these suppliers, customers, better track indirect emissions. And this effort earned us global recognition for supplier engagement from CDP where we were in the top 8% of companies globally, and the only company from the furniture industry to be recognized for helping our suppliers tackle climate change. So I hope you'll download our Impact Report and read more about our work and our commitment to use our business as a force for good. The report is scheduled to be live on our website on October 4. So to summarize, halfway through the year we are ahead of our target, and we expect that to carry through for the full year. We continue to navigate a dynamic environment, but our demand levels have been fairly stable. We are optimistic that as more companies announce requirements for in-office presence and their employees return more substantially, investment levels will increase. We're pleased with the progress we're making in our strategy to lead the workplace transformation, diversify the customers and markets we serve, and improve our profitability. So with that, I'll turn it over to Dave to review the financial results and share more details regarding our outlook.
Dave Sylvester: Thank you, Sara, and, good morning, everyone. My comments today will start with the highlights related to our second quarter results, balance sheet and cash flow. I will then cover our outlook for the third quarter and the full fiscal year. Overall, we delivered strong results again this quarter, with both revenue and adjusted earnings exceeding the top ends of the ranges we provided in June. And for the full year, as Sara just mentioned, our adjusted earnings outlook is between $0.80 to $0.90 per share, which is significantly above the targeted range of $0.55 to $0.75 that we communicated in March. Through the first half of the year, our profitability initiatives have driven higher gross margins and revenue from our largest corporate customers has also been above our expectations. In addition, our operations have benefited from less supply chain disruption, as well as the adjustments we've made, which are contributing to faster order fulfillment patterns, and improved operational efficiencies. Our better-than-expected revenue of $855 million was driven by strong performance in the Americas, which benefited from faster order fulfillment patterns and favorable pricing benefits. The revenue from international was slightly ahead of our estimates due to favorable project timing. On an organic basis, our consolidated revenue declined 1% compared to the prior year and included 1% organic growth in the Americas and an 8% organic decline in international. Our better-than-expected adjusted earnings were primarily driven by the Americas due to the favorable revenue. Operating expenses were slightly above our Q2 estimate primarily due to higher variable compensation expense, driven by our better-than-expected earnings. In addition, we had lower-than-anticipated gains from the sale of an aircraft and other aviation assets. The macroeconomic environment across our international markets remains mixed, which drove our organic revenue declines and adjusted operating losses in the international segment in the first and second quarters, and led to our previously announced restructuring actions. Over the second half of the year, we expect our international adjusted operating income to approach breakeven due to the projected benefits of those actions becoming more fully realized, as well as, seasonally higher volume. Sequentially as compared to the first quarter, operating income increased by $34 million, driven by a $103 million increase in revenue. And the sequential increase in revenue was driven by normal business seasonality, which includes Smith System and other education projects that tend to shift during the summer months. As it relates to cash flow and the balance sheet, we generated $120 million of cash from operating activities in the second quarter, primarily driven by adjusted EBITDA of $77 million and a reduction in working capital of $39 million. Lower inventory was the largest contributor to the reduction of working capital as improved supply chains are driving shorter lead times for raw materials and component parts, which is enabling reductions in safety stocks. Our increased cash balance also benefited from approximately $15 million of proceeds related to the sale of aviation assets. Our liquidity totaled $315 million at the end of the quarter. Our trailing four quarter adjusted EBITDA of $251 million represented an increase of 63% compared to the prior year. Our leverage metrics have improved significantly over the last several quarters with net debt now approximating half of our trailing four quarter adjusted EBITDA. Regarding orders in the quarter, we posted a year-over-year decline of 7% in the second quarter including declines of 7% in the Americas and 5% in International. Although it's difficult to quantify, it's possible the year-over-year comparison may have been impacted by an extended pull forward effect related to the significant increase in list prices and the introduction of a temporary surcharge in July of the prior year. On a consolidated basis, orders declined 5% sequentially versus the first quarter, which is consistent with the sequential decrease in the prior year. In the Americas, the year-over-year decline was primarily driven by lower project business, partially offset by double-digit growth in our continuing business. The strong growth in our continuing business reflects large companies investing in their existing spaces and potentially correlates with increasing office attendance. In International, the order decline was driven by EMEA, partially offset by growth in Asia-Pacific. Within EMEA, demand patterns were mixed with some markets posting order growth in the quarter and on a year-to-date basis, while others declined. And in Asia-Pacific, while demand patterns in China remained relatively soft, all other regions have posted year-to-date order growth versus the prior year. In the first three weeks of the third quarter of fiscal 2024, our order levels are up 18% versus the same three weeks in the prior year, which declined by approximately 20% versus the same period in fiscal 2022. Turning to our outlook for the third quarter, we expect to report revenue within a range of $780 million to $805 million, which would reflect a 3% to 6% decline compared to the prior year which benefited from a significant backlog of customer orders that had accumulated in part due to supply chain disruptions and extended delivery timeframes. Despite the projected decline in revenue, we expect to report adjusted earnings per share of between $0.23 and $0.27, which compares favorably to $0.20 in the prior year. In addition to the projected range of revenue, the adjusted earnings estimate includes estimated gross margin of approximately 32%, operating expenses of between $215 million to $210 million, which is lower compared to the second quarter and includes $10 million of targeted gains from the sale of fixed assets. Lastly, we expect interest expense and nonoperating items to net to approximately $4 million of expense. And we're projecting an effective tax rate of approximately 26%. For fiscal '24 based on the strength of our first half results and current market conditions, we expect adjusted earnings per share between $0.80 to $0.90 which is significantly above the targeted range of $0.55 to $0.75 we communicated in March. In addition, we're projecting a modest organic revenue decline for the full year, which is a few percentage points lower than the targeted modest organic revenue growth, we also communicated in March. In summary, we posted strong year-over-year growth in adjusted earnings and we generated $115 million of liquidity in the second quarter. And our earnings outlook for the full year is significantly higher than the targets we set at the start of the year. In addition, we're optimistic about the growing number of large companies that are beginning to mandate increased office attendance, as we believe this will help drive additional continuing business, and eventually lead to improved project business to better support the transformation of the workplace. From there, we will turn it over for questions.
Operator: [Operator Instructions] And your first question comes from the line of Greg Burns from Sidoti. Your line is open.
Greg Burns: Good morning. Can you just talk about the sequencing of order patterns throughout the quarter, and then the 18% growth you're seeing in the first couple of weeks of this quarter? Is that still largely continuing business or are you seeing any uptick on the project front? Thank you.
Dave Sylvester: Hi, Greg. Across the quarter, order patterns were relatively stable. Versus prior year, they were a little all over the place because of the pull forward effects that we had last year when we did the price adjustment and surcharge. But throughout the quarter, they were relatively stable. They were a little heavier, a little better, earlier in the quarter, but I attribute some of that Smith System and some of the timing of - some larger continuing orders that were placed by customers. Regarding the first three weeks of September, I don't know whether project are continuing to drove that. We could look into that. I suspect it's probably more of the same in that we saw a strong continuing business or continued growth in our continuing business, and continued declines in project. But we'll follow up on that and let you know if it's different than that. What - again, what we highlighted is, it's a strong growth, but it's versus relatively easy comp last year which was down 20% in the first three weeks. And I'd also just point out that three weeks don't make a month which, in one month doesn't make a quarter. But we thought it was interesting to share that we are seeing continued kind of overall stability in our orders and the versus prior-year comparisons, kind of - but I will start bouncing around a little bit more significantly moving forward.
Greg Burns: Okay. With all the commentary, we're seeing around stricter kind of return to office, mandates and it seems like businesses are landing on what the future of hybrid work is going to look like. Are you seeing - what are you seeing in terms of the pre-order activity, and maybe with the conversations you're having with some of your larger customers? Is the pipeline filling? Are you getting a sense maybe that there's more activity behind the scenes that is building and just kind of maybe waiting for - maybe a better macro outlook or something to move forward? What's your view on kind of the pipeline of opportunities?
Dave Sylvester: Well, the pre-sales activity is relatively mixed. I mean, there are some indicators that are positive. We've had decent visits in our local showrooms. As an example, there are markets that have positive improvement in quote activity. But in the Americas, our project, our new opportunity creation was down versus last year. I don't know whether that's more of a timing thing than - or an indication of maybe pause because of macroeconomic concerns. But what we do see and do sense from our sales organization's overall sentiment, and what we've been seeing in the continuing business patterns is that activity is increasing and it feels pretty good. And I said it's potentially correlated. Our growth in continuing business is potentially correlated with the increased staff attendance. That was a hypothesis that we've had for a while that if we got people back in the offices more significantly, we would see higher levels of moves adds changes and just general activity would restart. And it feels like we're seeing some of that, and I'm sure as more employees get back in the office at our clients, they're going to start thinking about project activity as well. We just don't know when.
Greg Burns: Okay, thank you.
Operator: And your next question comes from the line of Reuben Garner from Benchmark. Your line is open.
Reuben Garner: Thank you. Good morning, everybody. Can you talk about - so really strong margin performance despite a challenging volume environment. Can you talk about how - what that might mean for two, three years from now, if we do get any macro support and maybe not volumes back to pre-COVID peaks, but maybe somewhere in between where we are today, and there what kind of investments you need in people or capacity or anything else that might kind of offset it or can we kind of expand margins from here in a normal volume leverage, I guess?
Dave Sylvester: Well, that's certainly what we're modeling, Reuben. I mean as we look out and model next year or two or three years out and imagine different scenarios, we're not eroding our gross margins that we've worked really hard to improve. So, we're expecting to retain it. And as you can imagine, we along with others in the industry have capacity in our system to be able to handle incremental order growth and revenue growth. So I don't imagine that we're going to be significantly investing in capital as demand patterns continue to improve.
Reuben Garner: Okay. And just a quick follow-up on, I didn't hear the September three-week quarter pattern, do you mind just repeating that?
Dave Sylvester: Yes. The - over the first three weeks compared to the prior year, they were up 18% and just reminded everyone that last year in the first three weeks, were down 20% versus the previous year. So I mean they are kind of overall remaining relatively stable as I think the takeaway.
Reuben Garner: Okay. And coming out at NeoCon, there seem to be at least - I got the sense there was little bit of excitement that we maybe were reaching an inflection point. It seems like you're seeing some of that with the return to the office and the continuing business. Do you think that there's anything beyond the macro going on with the project environment, meaning refreshing of offices or tweaking of offices are going to happen in a bigger way, continuing business might drive the growth longer-term and we'll see fewer projects or is that - am I over thinking that, and this is just, maybe a simple macro pushout?
Dave Sylvester: I don't think so, Reuben. I mean, I'll let Sara add on to this. But if I think back to what some of the retirees told me about recessions back in the 80s, and I think about what we experienced in the early 2000s, typically continuing business is what comes back first and project activity restarts over a - not a long period of time, but sometime after. And that makes sense. As CEO and CFO confidence improves, capital spending starts to improve as well, and so you start rhythm of what I was talking about before, supporting moves and adds and changes in the business and smaller projects that are often ordered through our continuing agreements with our accounts.  But as things improve further, that is when management team start thinking about larger initiatives, maybe a move to a different facility, maybe new construction, maybe taking advantage of low lease rates and negotiating different footprint, and the different building, etcetera. That's when we start to see project activity improving. My sense is that we're going to see the same thing because the office or the workplace is installed on this density model that everyone was pushing towards before the pandemic. And with living on video now, we need more privacy in the office that supported not only in conference rooms and collaborative settings or in - and in enclaves, but even in the open plant which is why Sara talked about some of the products that we have to support that. So we're - we - I think it's going to happen, I just don't know what - over what timeframe.
Sara Armbruster: Yes, I'll just add on. I think that's - I think that's right, continuing business first, followed by project activity. You know, and I would say that I think, you know, as companies sort out not just their sort of workplace strategies, but also sort out their real estate strategies. I would anticipate that we should see more project activity. In fact, I was talking to a CEO of a large financial services institution a week or two ago, and his comment was that, during the pandemic, like all of us, right, everybody got sent home and as they were in the pandemic, they shed some of their real estate holdings because they didn't need them, and his comment to me was now that we're bringing everybody back, we actually don't have enough space to have everybody. So they are looking at investing in new facilities which would drive project, business more than continuing business. So I think if you start to see one and then a few and then many of those kinds of situations unfold, to me that bodes well for our opportunity to capture that kind of business.
Dave Sylvester: You know, one other client example, I was with a tech company in the summer out on the West Coast. And while they are imagining shrinking their real estate footprint, what they said to us and our dealer at the time is that they imagine changing everything within the remaining footprint, because they were very focused on a dense model, and they know they need to change and they are driving their people back in the office. So I don't think - if they're changing everything, that's going to probably show up as project activity.
Reuben Garner: Okay, great. Very helpful. Last one for me. Liquidity was at least somewhat of a concern from investors over the last year, and you guys have obviously had a fantastic operating performance over the last year, generated quite a bit of cash flow this quarter. Can you just kind of update us on where that sits?
Dave Sylvester: Yes. I mean, I think, first of all, a shout out to the operations teams who have done a terrific job managing through supply chain volatility. They made a lot of changes to our supply chains to help strengthen it. But also a lot of suppliers have also worked through the chaos. So we've been able to work inventories down to a much more, I would say, normal level. I think there's probably a little bit more to be had there but I think - I don't know that you're going to see another quarter of a $30 plus million reduction in inventory. You might see a few 5s and 10s here and there. And the receivable book is in pretty good shape, and our days payable are averaging what we expect them to average as well. So I think from a working capital perspective, you'll see more - you'll see it moving more in sync with the revenue growth as we go forward.
Reuben Garner: Great. Thanks, guys. Congrats on the strong results in the quarter.
Dave Sylvester: Thank you.
Operator: Your next question comes from the line of Budd Bugatch from Water Tower Research. Your line is open.
Budd Bugatch: Good morning. And my congratulations on the excellent operating performance as well. Sara, you talked to CEOs a lot. And I know you talked to large company CEOs, probably the smaller company CEOs. And that with - part of the debate has been compliance of associates to some of those, we want you back in the office, and now I think turning into mandates. Maybe could you give us a little bit of color, if there's any dichotomy on that?
Sara Armbruster: You know, I like - I guess, I would say that, as I talk to CEOs even just over the past couple of weeks, and I'll say this is anecdotal. So take it for that. But I do hear more CEOs talking and using language that speaks to you know more willingness to put some teeth into these policies and mandates. I think many CEOs from the very beginning of the pandemic has felt that some level of in-person presence, people being together in the office is important for culture, it's important for innovation and it's important for driving you know business strategies and outcomes. But there was obviously, you know, for various reasons, whether it was the pandemic or the war on talent, we'd be reluctance to push hard. And I definitely hear CEOs talking more about that. In fact, I was last week with a CEO of a kind of Fortune 10 size firm. He'll talk about now trying their return to office policies to compensation, bonuses. So again, I don't know that that's - I don't know that I would say that, that's widespread at this point. But I do hear more business leaders feeling pretty insistent about turning up the dial on expectations in saying you know this is how we work at this company, and if you're you know, employee of this company, we want you to be kind of on-board with how we do business here.
Budd Bugatch: And as they - as a mandate is moving from three days a week to five days a week, or can you - 
Sara Armbruster: I mean, we're definitely seeing - we're definitely seeing some of that. You know, I do think that we have seen some companies move to four days a week or take policy, certainty evolve where they have flexibility in terms of the days per week. But they say, your return to offer your - as an employee your work from home has to be limited to no more than you know a few weeks per year kind of dole out those days as you see that. So I do think that there are companies who are feeling you know more emboldened and feeling more conviction in being able to set those expectations and turning up that dial. Now that's not everyone, of course. But we are seeing that.
Budd Bugatch: And last year, if I remember right, you opined that or you thought that post-pandemic the industry could be 20% to 25% lower than it had been pre-pandemic. Have you changed any of that view?
Dave Sylvester: Not really.
Sara Armbruster: Not really.
Dave Sylvester: I mean it was a projection based on a lot of different assumptions and it was really more - communicated more to illustrate why we were leaning into our revenue diversification strategy. As we update that model, we still think the industry is likely to be smaller, especially around large company, but to what degree, we don't have a strong view on whether it's smaller than what we originally estimated or larger.
Budd Bugatch: And I know you've given guidance for the third quarter as to the revenue guidance and you're right, during the last year in the conference call, if I am right, you said down 20% for the first couple of weeks of September and I think the quarter came in down 17%. So modestly or pretty close to the same. Do you see orders - if orders are now up 20% for the first three weeks, do we get that same 3% drawdown? What do you think orders will be in the third quarter year-over-year?
Dave Sylvester: Well, that's a good question. I don't know that I have orders guide to share today. But I mean, it did start to decline fairly quickly and significantly last year in the third quarter. We - like I said in my scripted remarks, there might have been some pull-forward from Q3 into Q2 of last year because of the price adjustments, the surcharge that we did in July. So that could have exaggerated the decline a little bit. We don't know because it was - we did the adjustments in the middle of July. But it's possible there was some pull-forward effect. But because it declined as much as it did last year, and because our orders have been as stable as they've been for the better part of several weeks or quarters, couple of quarters, it's - you can certainly imagine that you'd expect to see order growth in Q3.
Budd Bugatch: And you're seeing - and you're turning - in terms of stability, you're talking about the order pacing - the income in order pacing in dollar....
Dave Sylvester: Exactly.
Budd Bugatch: Per week, that's the ability you're looking.
Dave Sylvester: That's the ability.
Budd Bugatch: And that.....
Dave Sylvester: So I think we could have stable orders that post year-over-year growth versus last year in Q3. That would not be surprising to me.
Budd Bugatch: Okay. And you've gone back to, this is the first time in a couple of reports if I remember, right, that you actually parse between continuing business, project business and marketing programs. And it's a bit interesting that I'm not quite sure what the project is right now. I always thought a project was new real estate and hiring of an architect and designer to specify. And now it looks like it could be the existing real estate, redefining the space or somehow rejiggering the - moving your desks around?
Mike O'Meara: Yes, Budd. This is Mike. So what we find typically is a customer will use a project quo when they're doing something more significant which we can generalize as a new space or a significant redo of an existing space. So that's how we kind of generalize historically versus a continuing is where they leverage their continuing agreement with standardized pricing in terms, and they just order, which is what we think is sort of where they're going first, as they bring people back to the office, is leveraging their continuing agreement to make incremental changes to improve the space, but not necessarily changing all of the space over or moving to a new location. So that's why we think that continuing is a little stronger right now, which is why we started to call it out because it was more meaningful as part is trying to understand maybe where things are going to go from here.
Budd Bugatch: Yes. I'm confused about that. So hopefully, maybe you can help elucidate us as we go forward on that. The asset sales in terms of, for me, is my next kind of target, they come back into and they are put against of the operating results. So, the gains are least, the gains are - the cash flows obviously goes into the operating cash flow. How do we think about that - the delta versus that improved year-over-year that you're getting to $0.90 right now? What's in that new $0.90 that was in, in which you planned when you were talking about the $0.70 or so in terms of the gains from asset sales.
Dave Sylvester: That's a good question. There is one item that's in there that was not planned and it will help offset the fact that we're selling the aircraft and aviation assets for lower gains than we planned. So there might be a little bit of benefit versus our initial target, maybe a penny or two, but we're not talking about $0.05 or $0.10.
Budd Bugatch: And when you're netting it, you're netting it against also the delta in variable comp or incentive comp that helps offset too?
Dave Sylvester: Yes.
Budd Bugatch: Okay. So really that - so it's really apples to apples is what you're saying, David, maybe except for a penny?
Dave Sylvester: A couple of pennies.
Budd Bugatch: Okay. A couple of pennies, okay, all right. And to end, well again, congratulations on the financial condition. It's remarkable which - I've seen this industry do this through the two most incredible periods I've ever seen in my life, which is coming out of Y2K and coming out of the pandemic nobody wanted either of these periods and you all have been able to show a remarkable strength and their resilience during that and you would be congratulated on that. I know it's not a lot of fun on a day-to-day basis. But when you look at it over a longer period of time, it's really a real testament to the culture and strength for Steelcase. So thank you.
Dave Sylvester: Thanks.
Sara Armbruster: Thank you, Budd.
Dave Sylvester: Thank you, Budd. We appreciate that recognition. And before we move to the next question, I just want to clarify something in my scripted remarks. Apparently, I mentioned that in our Q3 guide that operating expenses, we expected them to be between $215 million and $210 million. I actually meant $215 million and $220 million.
Operator: [Operator Instructions] And your next question comes from the line of Steven Ramsey from Thompson Research Group. Your line is open.
Steven Ramsey: Hi, good morning. Maybe to start with, it's more mandates for return to office or coming from companies. Are you finding that companies are spending on their office ahead of bringing those workers back or do they do it after they bring employees back and make adjustments as they get more experience with the new format of work?
Sara Armbruster: Yes, good question. So I think our experience thus far has been that it's a little bit of all of the above. Because remember all of these companies as they bring people back, they're starting from different points, as far as our physical spaces go. So if you're the company that had just done a significant remodel and it really invested you know just before the pandemic to think about technology integration, social spaces, well-being, etcetera, you might be closer you know to what you need today as you bring people back and therefore maybe need to make modest changes. Whereas there are other clients we serve whose spaces before the pandemic were what we would describe as pretty outdated in terms of how they support the ways of working. So those clients have a much you know more significant task ahead of them both to attract people back and then to support the way people want to work today. So I think we see some companies who know they need to make investments doing it before they bring people back. I think other companies are taking more of a pilot approach, will bring people back, will iterate, will give employee input, will sort of do a bit - kind of a bit here and there as we go. It's a sum of all of the above.
Steven Ramsey: Okay, that's helpful. And on the continuing business being stronger, you talked about a lot of verticals in the prepared commentary which was helpful. That continuing business strength, is that primarily in the corporate segment? Or are there other verticals that are helping to drive the continuing business?
Dave Sylvester: I don't know that I have that granular level of detail. But I think, I'm looking at Mike to see if he agrees. I think it's reasonable to assume that it's mostly driven by large companies. They are the ones that we tend to have the contracts with. We also have contracts with large healthcare institutions and large education institutions but Sara commented, in those cases, their admin investments are down while their investments in their off-carpet or clinical and classroom settings are up. So I think it's a fair assumption that it's mostly large company-related that is driving the improvement in continuing business. And Mike is adding that.
Steven Ramsey: Okay, that makes sense. Right, that makes it. So if I kind of bridge that to the longer term as you gain share and mature in other verticals aside from just large company corporate office, do you think continuing business becomes a natural part of those customer relationships over time, or is the nature of how you manage those other spaces less conducive to a continuing business that compares to large corporate?
Dave Sylvester: Well, certainly, some of those verticals like healthcare and education will have projects in continuing business. With - but on the small to mid-sized companies, we do have continuing agreements with some companies that are in, let's say 300 or 500 employee size but a lot of that business is more, you know, one and done, so to speak. And then of course on the consumer retail, there are no agreements with the - with that business as well.
Steven Ramsey: Okay, helpful. And on the strong cash flow that you generated and now a high level of cash bidding on the balance sheet, how do you think about putting that cash to work to returns or debt reduction or do you sort of think keep it elevated for the time being in the uncertain macro?
Dave Sylvester: Oh well, that's a good question, Steven, I - we've had a history in the last half dozen years of acquisitions, even in over the last couple of years, we've done two acquisitions Viccarbe and HALCON and they've been very supportive. They and the others that we've done have been very supportive of our strategy. So we continue to look and continue to imagine the possibility of another bolt-on acquisition or two. So there's always that possibility. And we also continue to attempt to offset dilution related to equity awards that are tied to variable compensation and in - on occasion, we've been more opportunistic and repurchased additional shares. The dividend is a strong dividend at $0.10 a quarter that the Board approved yesterday and I imagine that are kind of strong dividend philosophy is going to continue into the future as well. But yeah, I mean, I also would like to see liquidity continue to build. We're a conservative company that is in a cyclical industry and having a strong balance sheet has always been part of our DNA. It's very strong today, but it's not quite as strong as it has been in the past. So you could also see us just continue to strengthen it as well.
Steven Ramsey: Okay, helpful. And then last quick question for me. This quarter a beat raise when you had an expected organic decline of 3% to 6% for the second quarter. It's similar expected organic decline for Q3. My question is, are the factors that drove the beat in the second quarter, are those potentially going to repeat again in the third quarter or is - some of those factors kind of behind you?
Dave Sylvester: Well, I mean, we outperformed this quarter because of faster order fulfillment and pricing benefits. Our guide go forward now that we've seen a couple quarters of more normalized fulfillment patterns, our guide go forward assumes that that will continue. So we've already baked that in. And on the pricing benefits, I mean, we - though the magnitude of those benefits year-over-year will get much smaller as we move forward. And so I don't - it's hard to imagine that those could come in significantly higher than what we've guided prospectively. So I don't - I mean, that every guide that we provide is, we call it a 50-50, I mean, okay, maybe it's a 60-40 with a tad more upside than downside, but we guide based on what we know and for the last couple of quarters we've had good outcomes from the hard work that people are driving across the business.
Steven Ramsey: Excellent. Thank you.
Operator: And we have a follow-up question from the line of Budd Bugatch from Water Tower Research. Your line is open.
Budd Bugatch: Oh, that was a new one. The pronunciation of my name. The - you had made that point, David, that the industry is stabilizing in the weekly pacing and if my math is anywhere near right, it's about $60 million a week on average. And do you see that holding really through, is the standard deviation on that week-to-week not very high, as you're seeing that come in?
Dave Sylvester: I don't run a standard deviation on it. So I can't speak to that specifically, but it has been remarkably stable. As we look at it, I mean, I see week - average daily orders per week, I see that chart every month and it's remarkable how steady it has been.
Budd Bugatch: And when we look at that, you haven't gone lean, and you deliver - you can deliver probably half of the orders in a quarter or more in that quarter, is not typically what happens when you look at that?
Dave Sylvester: If the lead times are more in the four to six-week range, yes, there we can do that. We're set up - we could do that.
Budd Bugatch: And…
Dave Sylvester: Our lead times are back to normal almost on every product, maybe not everyone - single product. But all the large runners are on standard lead times which range between a few weeks to maybe six weeks.
Budd Bugatch: So in the past, one of the things that you've had to stumble through and explained to investors was what happened to the projection of that backlog in terms of how much of it was deliverable in the next 90 days. We haven't heard that number this call. What do you think the backlog - how much of the backlog gets delivered or what is projected for delivery in this quarter?
Dave Sylvester: A much more normalized percentage which is quite high.
Budd Bugatch: The normalized percentage is 80% or so, right? 70% to 80%?
Dave Sylvester: I don't know if I know the percentage - exact percentage. But that doesn't sound unreasonable.
Budd Bugatch: Okay, all right. Thank you. Well, and so the last part of it, well, then because we've had a dichotomy in order growth and revenue growth in some of the quarters, even in the last 30 - the last third quarter we had that order degradation of 17% year-over-year, so I think, revenues were up year-over-year. So I'm just trying to get to - when do we get to a normalized pattern where all of it looks like it's going in the same direction. And that's a question that I think everybody is struggling with?
Dave Sylvester: Yeah, I understand.
Budd Bugatch: Okay. You're struggling too.
Dave Sylvester: I don't know. I don't know the answer. But I mean, what I - again, while I go back to is the average daily orders per week is remarkably stable in our core business in the Americas. In international, it's a bit more mixed. Some markets are growing. Others are declining. And we tend to be more project-oriented in Asia than we are say in Europe or in the Americas. So it is a little bit more lumpy week-to-week. But in our largest market where we have 70% of our revenue in the Americas, it has been pretty steady.
Budd Bugatch: Okay. I mean, I've known you for a pretty long time now, and every time I hear you go err, I know that that is - you've got the same issue or trying to get to because you're a pretty definite in your opinions usually well. I thank you very much.
Dave Sylvester: Fair, Thanks, Budd.
Operator: And there are no further questions at this time. Ms. Armbruster, I turn the call back over to you.
Sara Armbruster: So, thank you, all, for joining. We appreciate your interest in Steelcase as we continue to focus on driving improved results. And I hope you all have a great day.
Operator: This concludes today's conference call. You may now disconnect.